Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the First Quarter 2021 Tile Shop Holdings, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to, Mr. Mark Davis. Sir, please begin.
Mark Davis: Thank you, Dexter. Good morning to everyone and welcome to the Tile Shop's first quarter earnings call. Joining me today are Cabby Lolmaugh, our Chief Executive Officer; and Nancy DiMattia, our Chief Financial Officer. Certain statements made during our call today constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in our earnings press release issued earlier and in our filings with the SEC. The forward-looking statements made today are as of the date of this call and we do not undertake any obligation to update these forward-looking statements. Today's call will also include certain non-GAAP measurements. Please see our earnings release for a reconciliation of those non-GAAP financial measures, which has been posted to our company website. With that, let me now turn the call over to Cabby.
Cabell Lolmaugh: Thanks, Mark. Good morning, everyone. And thank you for joining us today for an update on our business, and a review of our first quarter financial results. We started the year on a positive note with meaningful improvements in net income and adjusted EBITDA, when compared to the first quarter of 2020. Our adjusted EBITDA and adjusted EBITDA margin were the highest levels we've reported since fiscal 2018. These improvements were made possible by our commitment to maintaining disciplined management practices, which resulted in an improved gross margin, and a substantial reduction in selling, general and administrative expenses. Our stores continue to operate at reduced hours during the first quarter of 2021, which allowed us to maintain a lean expense structure. However, it did contribute to lower levels of traffic and sales when compared to the first quarter of 2020. During the quarter, we tested expanded hours at a subset of our stores. We will continue to evaluate the results of these tests, perform additional tests, and make adjustments to our store hours, as results show that the incremental business generated by extending store hours, supports the additional investment in store overhead expenses. In the first quarter, we continue to experience elevated levels of product back orders, stemming from delays and replenishment from several international tile suppliers. In many cases, this was the result of production challenges at the suppliers factory due to COVID-19. We also experienced an increase in delays due to international shipping capacity constraints. Since many building products are dealing with shortages and delays, this seems to have been accepted by our Pros and homeowners, reasonably well. But, we're still working hard to eliminate these delays. Although, it has only been a short time since our last earnings call, I'd like to provide a brief update on our three key priorities for 2021. Our first priority is focusing on retail execution. We've continued to see improvements in our key metrics in this area. Specifically, we were able to achieve an 80 basis point increase in gross margin during the quarter, that was largely due to lower levels of discounting and improved delivery collection rates. Additionally, our training and development initiatives are helping us achieve gains in our conversion rates in average ticket size. We also saw strong enrollment in our Pro loyalty program in the quarter. Our second priority is to enhance our customers’ online experience. During the quarter, we invested in content and outreach with a goal of increasing the number of impressions, site visits and conversions with prospective customers shopping for tile. We're pleased with the progress made during the quarter, which included growth of online order activity, but we recognize that we're just starting to tap into the potential of what we hope to accomplish. We're also making great progress, working on a number of different projects to refine the way our products or merchandise online. The samples I've reviewed are nice upgrade to what we have. Our team is doing a wonderful job, evolving our customers’ digital experience. These enhancements will further strengthen online engagement with prospective customers in the future. Our initiative to refine our purchasing and distribution processes has been hampered by several factors. COVID-19 has forced us, like many consumer companies to take a hard look at all aspects of our supply chain. This includes ensuring we're able to source products from diverse geographic regions around the world, reduce product shortages, maximize product availability for our customers and minimize our costs. Our team is actively working with our network of international suppliers to secure delivery of backordered product. As I mentioned earlier, shipping capacity constraints are also adding pressure on product availability and cost. We're seeing an increase in the cost to transport products to the U.S. and are actively exploring alternatives to combat rising costs. Over the last three years, we have made substantial headway in diversifying our supplier base across the world. We continually weigh options to shift purchases to suppliers that meet our high-quality standards, while providing better pricing options. Overall, I'm pleased with the strong start to 2021. I'll now turn the call over to Nancy, who will take you through the financial details. Nancy?
Nancy DiMattia: Thanks, Cabby. Good morning, everyone. From a financial point of view, the theme continues to be around driving profitability and cash flow. Net income for the first quarter was $5.3 million, and fully diluted earnings per share were $0.10. Adjusted EBITDA increased $3.3 million from $11.4 million during the first quarter of 2020 to $14.7 million during the first quarter of 2021. Adjusted EBITDA margin was 16% for the first quarter of 2021, a 390 basis point improvement compared to the first quarter of 2020. We continue to manage our top-line through headwinds stemming from reduced hours and product shortages. Net sales decreased $2.2 million or 2.3%, from $94.3 million during the first quarter of 2020 to $92.1 million during the first quarter of 2021. Sales at comparable stores decreased 2.3%. It is important to note that total revenue dollars account sales performance during first quarter of 2020, was our highest levels that we've reported in any quarter during the prior three years. While the onset of COVID-19 in 2020 started to affect our traffic during the first quarter, we continued to post strong sales results through the end of March. We helped our professional customers secure delivery of products they needed to complete jobs before state and local government restrictions took effect. We did not see a significant impact of the pandemic in our sales, until the initial weeks of the second quarter in 2020. The decrease in sales at comparable stores during the first quarter of 2021 was primarily due to a decrease in traffic, that was driven in part by our decision to operate with reduced store hours. Our reduced store hours were implemented in the second quarter of 2020. Additionally, product shortages were a headwind during the first quarter of 2021. Despite the challenges, we're seeing a notable increase in our backlog and customer deposits. Deposits placed by customers to secure delivery of product in future periods, increased by $5.6 million from $12.2 million in December 31, 2020, to $17.8 million on March 31, 2021. Gross profit during the first quarter of 2021 was $64.2 million, and decreased by $0.8 million or 1.2%, when compared to the first quarter of 2020. Our gross margin was 69.7%, 80 basis points higher than the first quarter of 2020. The improvement in our gross margin rate in the first quarter of 2021, compared to the prior year period was primarily due to the better pricing and an improvement in customer delivery collection rates, partially offset by an increase in customer delivery mix. Our selling, general and administrative costs decreased by $5.1 million from $62.4 million during the first quarter of 2020, to $57.3 million during the first quarter of 2021. The decrease in SG&A from the first quarter of last year was partially due to our reduced hours, which contributed to a $1.5 million reduction in compensation and benefit expenses. Additionally, we incurred $2.2 million of asset impairment charges, and $1.1 million of legal costs in connection with shareholder litigation during the first quarter of 2020. During the first quarter of 2021, we did not occur any asset impairment charges or legal costs, in connection with the shareholder litigation, which was finalized in October 2020. During the first quarter, we opened a new store in Wayne, New Jersey bringing our total store count to 143 stores. During the first quarter of 2021, cash provided by operating activities totaled $30.1 million. Cash generated during the quarter was used to fund $3.2 million of capital expenditures to finish the build out of the new store opened during the quarter, remodel existing stores, invest in Information Technology and enhance merchandising assets. We continue to anticipate $12 million to $15 million of capital expenditures during 2021. We ended the quarter with a $35.9 million cash balance and no debt. With that, Dexter, Cabby and I are happy to take any questions.
Operator: [Operator Instructions] Our first question or comment comes from the line of David Kanen from Kanen Wealth Management. Your line is open.
David Kanen: Good morning. Thanks for taking my questions. First question is in regards to hours, both being open on Sunday, and then daily hours, Monday through Saturday. What is the difference now, starting in April versus in Q1 when you were not fully open, so to speak?
Cabell Lolmaugh: Hey, David, this is Cabby. Good questions. Yeah, right now we're running a couple different tests in different markets and individual stores across the chain. So, some stores are open on Sundays in full markets or individual Island stores. Some stores, control stores are not open. And some stores were running extended hours through Monday through Friday, into the evening. So, we're monitoring the data and the results, looking at traffic, looking at sales, looking at cannibalization from other days. So, as we read this data, and it's starting to push one way or the other, it helps us define what the go forward strategy is going to be. I look at a lot of our regional competitors, kind of the true competitor to the tile shop. And, most of them are not even open on Sundays, some are, but very few, and some are even closed on Saturdays. But, I want to make sure that we can get all the traffic we can to make profitable sales. Sales come at a cost, and that's what I analyze every day. So good question.
David Kanen: Okay. I mean, I recall you more or less saying the same thing during the Q4 call. And I know it wasn't that long ago. Are there any anecdotal findings at this point? And then if you could give a percentage, perhaps I believe by total store hours versus normal, we're down close to 20%. Is that right? In Q3, Q4, what are we looking at now? Is it more or less the same given the tests? Or is it -- are there significantly more hours?
Cabell Lolmaugh: Sure, yes. We've expanded our tests in some areas. Primarily, it's about the same, we've opened a few more hours in some locations. But, anecdotally, it's about the same. During this COVID pandemic, it's tough to staff the stores to make sure that, we're getting the true data. It hasn't been that long before our last call, and some stores are showing some results, and some stores are showing very different results. So, that's why I want to avoid a knee jerk decision to add a lot of cost to the model at this point. I'm going to let data drive that decision. And that's what we're doing every day, monitoring the data and expanding the test.
David Kanen: Okay. And then, in general restrictions are alleviating across the nation. Could use -- I'd like to know if this is translating to improvements in sales for you guys. So, could you speak to the cadence of sales throughout the quarter? Did it start off slower and then gain? Was there any momentum towards the end of the quarter? And did that potentially carry through into April and May, as many of these restrictions have alleviated?
Cabell Lolmaugh: Sure, yeah. I can't speak to Q2, I'm excited to when that time comes. But in Q1, due to our seasonality of our business, it's a strong quarter typically, and we do see it ramp up through January, February, March. And it helps with that same cadence. It was a little different than prior years due to the pandemic, but that cadence pretty much stayed the same.
David Kanen: Okay. And then, just one more question in regards to the uplisting. And I know you can't tell us exactly when it's going to happen. But I'm going to ask you more of a philosophical question. Does management and the board see the benefits and agree that it is a way to maximize shareholder value? Or, do they philosophically disagree that they're sort of going through the motions in terms, based on the pressure that they're seeing?
Cabell Lolmaugh: That's a really good question, David. I want to kick that over to Nancy a little bit. She's really tight close to this. Go ahead, Nancy.
Nancy DiMattia: Yeah. Thank you, David. So, I think you're following the company very closely, and you read our releases. So on March 1, we had a special committee that did all of the review on the analysis to make a really sound recommendation to the board. And they made the recommendation on March 1, the entire board voted unanimously for the uplist, uplisting rather, feeling that it made the best sense for the company and for the shareholders. So, it was a unanimous decision.
David Kanen: Okay. Thanks for taking my questions. Good luck.
Nancy DiMattia: Thank you.
Cabell Lolmaugh: Thanks, David.
Operator: Thank you. Our next question or comment comes from the line of John Helander from Chesapeake Advisors. Your line is open.
John Helander: Hi, thank you for the time. Quick question on just cash flow and cash on the balance sheet. I noticed that cash increased substantially to over $3 million. Congratulations on that. I was hoping you could comment on the impact of the customer deposits on that cash. And also, your thoughts for minimum cash balances that are necessary in the business?
Cabell Lolmaugh: It's a great question, John. Nancy, why don’t you take this one as well?
Nancy DiMattia: Sure. So, when we talk about cash, we are really happy that we've been able to generate good cash flow during the first quarter. And, we think that's going to offer some future flexibility. But, we recognize that there's still a number of ongoing risks associated with COVID, that we're going to need to navigate. So, while we seem to be pointed in the right direction, in the U.S. at the moment, we're also seeing headlines that, I think everybody is aware of, that many companies across the world are still really struggling with the virus. So, as Cabby mentioned, in his earlier comments, this has had an impact on our supply chain, and the levels of product outages that we're currently experiencing. So, at this time, we really feel that it's prudent to build a cash reserve in light of the ongoing risks, still stemming from COVID and the uncertainty that that is still playing in the market. But certainly, we'll continue to evaluate our capital needs as we move through the year. With respect to the balances, certainly we've seen an uptick in that, and that is related to a number of suppliers who have been affected by COVID. So, we're working closely with our suppliers to secure delivery of the products that are currently backordered. But that has increased backorder product, and that's the reason that we're seeing customer deposit balances increased from $12.2 million December 31, to $17.8 million in March 31. We do anticipate those deposits coming down as we're able to get products in, but again, you know, so much of that is tied to COVID and the global situation. And we just, at this point, really can't predict what that's going to look like.
John Helander: Okay. Thank you for that. And I guess my only follow-up to that question is, if you could give any discussion. I know in the first quarter conference call, we spoke about one additional store. Has there been any change? And also $12 million to $15 million of CapEx, is very change in that guidance?
Nancy DiMattia: No, we're still anticipating to $12 million to $15 million in CapEx, we are going to be relocating one store. Certainly, we'll announce that when that's done and we will be closing the existing store, once the new one has been relocated.
John Helander: Okay. Thank you. I'll get back in the queue.
Operator: Thank you. Our next question or comment comes from the line of John [Indiscernible] from Family Office. Your line is open.
Unidentified Analyst: Hey guys, thanks for taking my call. You've actually answered a lot with that previous question. But, I was just wondering what the plans were in terms of capital allocation going forward, given that there are no new plans to open any more stores?
Nancy DiMattia: So again, it's something that we are continuing to actively monitor. We know that it's really important. But, we're still waiting to see how things are going to flush out through the year with COVID. Again, we monitor it very closely. We do anticipate that we are going to be spending -- have some capital expense, the $12 million to $15 million, which we're expecting $9 million to $13 million still left to spend this year. And we're going to see an increase in inventory. While we think it'll remain below $90 million, it's certainly going to ramp up somewhat from the $71 million where we're currently at. But again, we're tied to constraints with some of the suppliers due to COVID.
Unidentified Analyst: Got it. Yeah, I mean, just to echo a comment that was made on the last call. Given the valuation currently, just a recommendation to the board, it would seem prudent to maybe deploy some of the excess cash after COVID subsides a little bit. So that maybe tender shares prior to the up list, but just as a suggestion, I guess. That's all I have.
Nancy DiMattia: We appreciate the comment. Thank you.
Operator: Thank you. Our next question or comment comes from the line of Jeff Moore from Burr Oak Capital. Your line is open.
Jeff Moore: Thanks for taking my question. In regards to both kind of the inventory buildup that seems to be coming and the NASDAQ uplisting. What inning would you say we are in of those items?
Cabell Lolmaugh: That's a great question, Jeff. When you look at the global constraints on shipping, and, when I look at our inventory, you hope to be in the nice inning. But it changes weekly. We just had a strike in the Port of Montreal. We have COVID wreaking havoc across Europe. And, it's a battle, I see that we're going to continue through Q2 and into Q3. So, I can't really give you an inning that we're in for inventory buildup. And with the uplisting, that's not in our hands. So, we're going to wait and see.
Jeff Moore: Okay, thanks.
Operator: Thank you. [Operator Instructions] Our next question or comment comes from the line of David Kanen from Kanen Wealth Management. Your line is open.
David Kanen: Hi, just a follow-up on capital allocation. I appreciate the other callers bringing up that subject. Another category people typically think in terms of building stores, let's call that greenfield, buying back stock, paying dividends. But, have you guys vetted opportunities, potentially for acquisitions? Your industry is littered with many mom-and-pops that are good regional operators. I recall, for example, where I grew up in Long Island, there was a very strong regional player there, and had a great loyal customer base. They did a great job of executing. Have you vetted those opportunities? And, maybe it's better to buy versus build, maybe buy EBITDA at a very high ROI, well above what you'd get in a greenfield? So, if you could comment on that? And if that is something that you would consider, I’d appreciate that.
Nancy DiMattia: Sure. So, right now, frankly, we appreciate the fact that we have some opportunities within our existing store base, to continue to grow that and deliver better performance. And that's really where we're focused on for 2021. But, we do feel that, we always look at opportunities. But again, we're really focused on improving the existing store base, focusing on getting that in line with where we want. We're certainly making progress, and we're really happy to see that. But, we want to continue to execute the strategy that we have in place. But again, being debt free certainly offers us some flexibility in the future. We're looking to see where we're at, once we come out of the COVID environment.
David Kanen: Thank you.
Operator: Thank you. Our next question or comment comes from the line of John Helander from Chesapeake Advisory. Your line is open.
John Helander: Hi, I apologize. I meant to ask this earlier, but I noticed in your earnings reports, you track a pre-tax return on capital employed. And congratulations on showing a positive number for the LTM basis. I'd like to know how you think about this number, and why you track this metric, and what your goals are for it.
Cabell Lolmaugh: For pre-tax capital employed, let me kick that. Nancy, why don’t you to take that one?
Nancy DiMattia: Alright. I'm sorry, can you repeat the question, please?
John Helander: Yes. In your earnings releases, you track and you show calculations for pre-tax return on capital employed. For the LTM basis, your numbers are substantially higher, congratulations on such powerful faders. I'd like to know why the company tracks this metric, and how you evaluate the metric and the reason for it.
Nancy DiMattia: Well, we do feel it's an important metric to track. It helps us understand potential liquidity going forward, and the structure of the organization. And we take all of that into consideration when we think about our assets, how to deploy them, what the bottom-line is going to look like, as we move forward and refine our plans for the year.
John Helander: Okay. Is there a goal for this metric, like to go from negative 0.9 right to positive 7.3, is a substantial increase?
Nancy DiMattia: Yes. We're not ready to share what those numbers are. We don't want to offer forward-looking guidance. But it is something that we are keeping an eye on. And it's an indicator of the direction that we're moving in.
John Helander: Okay. In my analysis, Q2 of 2020 has a negative EBIT, which obviously drags down the LTM EBIT, using this calculation. For Q2 of '21, it will have a large swing because that will become some sort of a positive number, which will lead to a substantial increase in the LTM basis of the pre-tax return on capital.
Nancy DiMattia: That's correct.
John Helander: But, there's no thoughts on how to deploy this capital?
Nancy DiMattia: It all goes into our overall capital plan. And again, that's something that we continue to watch throughout the year, and more to come as we progress through the year.
John Helander: Okay. And just my final question, obviously, we saw today's payrolls reports disappointing in terms of the number of jobs being created and much commentary about labor shortages. Is that something that you're running into on your contractors, and also, buying materials for your ultimate end user and homeowners? And also for your staffing levels, are you running into serious considerations on job placement?
Cabell Lolmaugh: Yeah, John, that's a great question and observation. And, I think, anyone on this call who went out to buy anything home related in the past three to six months has experienced, either delays in product or sub levels of service in certain industries. We're lucky enough to be adequately staffed to expand hours. Staffing is a challenge. With millions of jobs open, it's become a much more competitive market for people to get a job. And we're going see increases across all industries and wages. And, hopefully, the articles I'm reading are wrong, but it could potentially lead to inflation. So, staffing is a challenge. And when you think about contractor base, yeah, there's a backlog for customers using Pros to get jobs installed in their home. It's by region, but all regions are suffering from it. We see that a delay in the tile job isn't due to always just the tile. They're waiting on windows. They're waiting on concrete. They're waiting on lumber. They're waiting on all these different things to finish the job. So, everyone in our industry seems to be backed up existing jobs that they're waiting to complete.
John Helander: All right, thank you. And just my final question. Do you at all think about like AFPs, or average prices, and the reason I bring it up is, top-line was down 2.3% year-over-year. And I'm trying to gauge, if that -- we know, there's lower foot traffic. But, did average price per tiles increase over that time? Or, did that also come down? Or is that flat?
Cabell Lolmaugh: We adjust pricing where we see it adequate, where we need to adjust pricing. But, we've also focused on one of our strategies is retail execution. So, continuing to get the skill level of our associates in our stores raised that through training, and we've seen lower discounting, which is, a big reason why we've seen an increase in our margin. But yes, we evaluate pricing, week in and week out. And it's something that we're very diligent, when looking at all the aspects that challenge a business, be it product availability, look at what the sell-through is on certain SKUs. So yeah, it's a great question, but it's something we look at, and we monitor. Because, execution of the pricing and of the sales of the product is what drives our profitability. So it's a good question.
John Helander: Okay. Thank you very much. Appreciate the time. Congrats, again, on a very good quarter and good SG&A performance.
Cabell Lolmaugh: Thank you.
Operator: Thank you. Our next question or comment comes from the line of Jeff Moore from Burr Oak Capital. Your line is open.
Jeff Moore: Thanks for taking a second question. I was curious about your debt facility, and if you could briefly go over that. And also, are you actively looking at other debt options right now?
Nancy DiMattia: So, our existing agreement with the bank goes for another two years. We have had conversations with our existing bank and other banks to see what our options are. It's something that we look at on a regular basis, in particular, as you look at the market, it's changed radically from last year to this year. Banks have eased some restrictions and are lowering rates. There was quite a run up that happened last year, with companies really needing additional liquidity due to COVID. Fortunately, we were able to survive that, that was not an issue for us. We're in a very good place at the moment. We don't think that we're going to need to advance any money anytime soon. Our goal is to remain debt free. But that being said, we realize that it is an important consideration for flexibility, and future growth. Again, our current agreement is two years, but we have talked to other banks in light of the new world that we're living in, just to understand what our opportunities are.
Jeff Moore: Okay. Thanks for that info. As part of your NASDAQ uplisting application, is there any restriction currently on you all for buying back shares?
Nancy DiMattia: No, but at the moment, we are waiting to hear a final decision from NASDAQ. And again, we'll be revisiting that as we move further into the year.
Jeff Moore: Okay. So just for clarification, though, there's presently no restriction on you buying back shares of the company stock?
Nancy DiMattia: I would have to confirm that. But no, I don't believe so.
Jeff Moore: Okay. Because I'm going to speak for every single outside shareholder, that is not part of the executive or board suite that is on or not on this call, and say, that we all want for you to be buying back stock like crazy. I mean, this company right now, if you put a run rate on this quarters' cash flow is trading for something like three times cash flow. And certainly, no one thinks that that will continue necessarily, but the cash flow generation ability in this business, because of the great work you all have done, is immense. And it seems to be frankly, just not getting any credit from the market as a whole. And even with the headwinds of COVID, that uncertainty creates a great opportunity for you all to buy back lots of stock and create just a whole lot of shareholder value. And, I would also think that the shareholder base being what it is, if there would ever be a liquidity event or liquidity requirement for the company, we'd be more than happy to inject capital into the business at a favorable rate for the company. So, I don't understand why you guys are not active -- if you're not actively looking at share buybacks you should be. It's just absurd how cheap this company is, relative to peers, relative to other companies in the market, and relative to its future cash flows discounted to the present. But again, I don't want to discount the great job you guys have been doing, operating the business. The debt paid on you've had over the past year or so has been absolutely incredible. So, thank you for that.
Nancy DiMattia: Yeah, we really appreciate the comment, and do know that this is something that we really do take seriously, both Cabby and I, from a company perspective, and certainly our board of directors. We evaluate all of that on an ongoing basis. When we think about capital, how to deploy it, what makes the most sense for the organization, and ultimately for the shareholders, right. That's something that we always keep in mind. So, again, I appreciate the comment. We do want to get a little further into the year. But, this is something that certainly is a topic for discussion that we've been having internally.
Jeff Moore: Okay. But to stress again on the share buybacks, you all have the opportunity of the decade probably to be buying back shares, because it's no secret that you're all its founder in spite selling shares right now. He doesn't care about the price. And, I would think he would be willing to sell his remaining probably 2 million shares after what he probably dumped yesterday to you guys, and just a private transaction just to be out. So he can go about his business. That alone could buyback a substantial amount of the company at a favorable rate for the company. And if you all would do that, I mean, that would reduce your cost of capital, it would help the share price, especially as you are getting uplisting to the NASDAQ. I've talked to probably a dozen shareholders that are baffled as to why you guys are not tendering for those shares right now. So, we would all definitely appreciate you doing that, I think. So that's something that would be great for you all to look into at the board level, as soon as possible. Because he was selling in the past week, and it seems like he doesn't mind to suppress the price to do it. So, please look into that.
Cabell Lolmaugh: I appreciate it, Jeff. And just like to echo Nancy, it's something that we do review a lot at the board level and internally, and what the best course is to do with our cash. So, thank you very much for your commentary.
Jeff Moore: No problem. Have a good one.
Operator: Thank you. Our next question is a follow-up from Mr. David Kanen from Kanen Wealth Management. Your line is open.
David Kanen: Sorry, guys, I thought I was done. But the other caller sort of woke me up there. So, I just wanted to express, we're a large holder, we own almost probably at least 4 million shares. So, I actually concur with the previous caller. I think it would be great if you guys can retire shares at this kind of evaluation, and help him move on to other things. And that's it, just a comment. Thank you.
Cabell Lolmaugh: Thank you, David. Appreciate it.
Operator: Thank you. Our next question or comment comes from the line of John [Indiscernible] from Family Office. Your line is open.
Unidentified Analyst: Hey, guys. Yeah, just to echo Jeff's comments. Did Rucker reach out to you guys at all about selling his stake?
Cabell Lolmaugh: No, he has not.
Unidentified Analyst: Okay. That's all I got really. It really might be better for you guys to reach out to him. Just to see if you're able to buy his remaining stake.
Cabell Lolmaugh: We can't really speak to that right now, John, but I get the question. And it's a good one. So I appreciate it.
Unidentified Analyst: Thanks, guys. Thanks for all your hard work.
Cabell Lolmaugh: You bet.
Operator: Thank you. I'm showing no additional questions in the queue at this time, I'd like to turn the conference back over to management for any closing remarks.
Mark Davis: Thank you, Dexter, and thank you to everyone, for listening to our earnings conference call. We anticipate filing our Form 10-Q later today. We look forward to providing our next update in August. Thank you for your interest in the Tile Shop and have a great day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.